Nona Branch: Good morning. And welcome to the Guaranty Bancshares Third Quarter 2024 Earnings Call. My name is Nona Branch and I will be your operator for today's call. I would like to remind everyone that this call is being recorded. After our prepared remarks, there will be a Q&A session. Our hosts for today's call will be Ty Abston, Chairman and Chief Executive Officer; Shalene Jacobson, Executive Vice President and Chief Financial Officer. To begin our call, I will now turn it over to our CEO, Ty Abston.
Ty Abston: Thank you, Nona. Good morning everyone, and again welcome to our third quarter earnings call. Our company did have a good quarter. We did have some extraordinary expenses, related to a couple of properties we have in ORE that we capitalized expenses on those properties. We feel like those will be resolved next few weeks, as we have both those properties under contract. So that will kind of resolve itself, and we'll recoup some of those expenses. Our growth is still muted. Our best customers are really being cautious right now, with where things are with rates. And we do think as we get into '25, we see some rate reductions get past the election, some of the geopolitical things kind of calm down. We'll see additional growth in our state. Our state still has a very vibrant economy, but we are seeing muted growth again with some of our best customers. We do have a strong core deposit base, and that's something we've really been focused on the last two years, and we've certainly added to that this year. Our strategy, as I've mentioned before, we really grew this company significantly from 2012 to 2016, probably more than any time in our history. That five-year period. We were able to do that, because we came out of the financial crisis in a strong position. So, our strategy the last couple of years has been to do the same thing, is to position this company where we had strong liquidity, strong capital, strong asset quality, and the capacity to lend. In other words, our lending buckets had room to grow the company, and grow the portfolio. And that's kind of the strategy, we've been operating the last two years as we go into '25. We think we're well positioned to grow this company another $1 billion, $2 billion over the next three to four years, because of those conditions. The fact that we have all those strengths in place to grow when we see growth in our markets and we see it makes sense, and that's going to be organic growth, that's going to be bolt-on acquisitions. And there's just a lot of opportunities when you're in that position. Where you have options to grow the company again, both organically and bolt-on acquisitions, as opportunities present themselves. So we're starting to plan 2025. We feel really good about the year, the growth we're not sure of at this point. We do think, we'll see positive growth, but again, we're waiting on conditions with rates and political conditions, everything else to kind of help that. But the overall positive narrative around Texas is still very positive, and a lot of opportunities in front of us related to that. And then, we're still up and we're also starting to do our updated strategic plan that we'll do in the first part of 2020, which again, like I've kind of outlined, has some real growth opportunities for us, because of the way we're positioned as a company in the coming few years to capitalize on opportunities. So with those opening remarks, I'll turn it over to Shalene, who has an investor presentation, and after - she goes through that, then we'll open it up to Q&A. Shalene?
Shalene Jacobson: Thanks Ty. I'll kick it off like usual with the balance sheet, total assets are down about $88 million year-to-date, but our total assets actually increased $15.5 million during the third quarter, while total liabilities increased by about $4.8 million. Our gross loans decreased by $78.5 million, but we replaced those dollars with available for sale securities and with cash. We purchased about $24.1 million of mortgage backed securities, with a weighted average yield to maturity of about 4.9% during the quarter. And we also purchased $15 million in U.S. treasuries that had a weighted average yield of 3.9%. And of course, on the cash side, we were yielding about 5.3%. On the liability side of the balance sheet deposits and repurchase agreement, balances increased $48.8 million, and those were offset by the repayment of $45 million in Federal Home Loan Bank advances, which now have a zero balance on the balance sheet. Total equity increased $10.7 million during the quarter, primarily resulting from net income of $7.4 million, and an improvement in our accumulated other comprehensive income of $6.6 million. This was offset by dividends paid of $2.7 million, or $0.24 per share, and we repurchased nearly 60,000 shares of Guaranty stock during the third quarter. On the income statement, the company earned $7.4 million in net income, which equates to $0.65 per basic share, which is consistent with what we earned in Q2 and up from $0.54 per share in the third quarter of 2023. Earnings were fairly on target, with where we expected them to be in the third quarter, but were boosted slightly by a $500,000 reverse provision for credit losses. As you all noted in your first look reports this morning, and we'll talk about that here in a minute. Our return on average assets was 0.96% for the quarter, compared to 0.95% in Q2, and our return on average equity was 9.58% for the quarter, compared to 9.91% in Q2. Our net interest margin was 3.33% this quarter, which is an increase from 3.26% in the second quarter, and 3.02% during this quarter last year. Those increases from the prior quarter, and prior year quarter result from improvements in interest earning assets that, were better than our rates on our costing liabilities. The average yield on interest earning assets, during the third quarter increased one basis point from 5.61% to 5.62%, while the average rate of our costing liabilities decreased seven basis points, from 3.43% in the second quarter to 3.36% in the current quarter. We expect to see continued overall improvements in the NIM, as many of our loan assets continue to reprice, from three and four and five years ago at the higher rates that they are now. But also we'll be able to see some improvements on the deposit side. A significant amount of our interest-bearing deposits now about $740 million are certificates of deposit. Those are primarily made up of nine-month and 13-month CD specials that we've had running for the past couple of years. In the fourth quarter, we anticipate that $253 million in CDs will reprice and those CDs currently have a weighted average rate of 4.77%. The nine-month and 13-month specials that we have now, depending on whether it's a jumbo CD or non-jumbo, range from 3.55% to 4.2%, if it's a jumbo nine-month CD. So, we'll be able to see quite an improvement on the deposit cost side, over the next quarter. And then about 90% of our total CD portfolio will reprice, over the next nine months. The average rate on those CDs that are maturing over the next nine months is 4.73%. Non-interest income decreased by $555,000 during the quarter, resulting primarily from a $900,000, ORE valuation allowance that we had in the prior quarter that was not present in this quarter. However, non-interest expense increased by about $76,000, which was primarily due to holding costs related to the ORE, which I'll talk about a bit more shortly. Our efficiency ratio was 70.47% for the quarter. Onto credit, and allowance for credit losses. Our gross loans, as I mentioned decreased $78.5 million in the second quarter and have decreased about $186 million year-to-date, primarily in our C&I construction and development and CRE loan segments. During the third quarter, we did however originate $63.8 million in new loans that had an average rate of 8.07%, so new loan yields remained at good levels. Non-performing assets, continue to remain at historically low levels at 0.66% of total assets for the quarter, compared to 0.71% in the prior quarter. Those percentages include both ORE and non-accrual loans, but if you exclude the ORE, which Ty mentioned, we expect to resolve in the fourth quarter. Non-performing loans as a percentage of total loans is 0.25%, and as a percentage of total assets is only 0.17%. So really, really low levels there. Net charge-offs also remain low. We had a $239,000 net charge-off during the quarter, and our net charge-off to average loans ratio was 0.04%. For the ORE, we currently have the same two properties that we mentioned last quarter in the earnings call and in the Q, but we now have sales contracts on both of them, as Ty mentioned. We have incurred some holding expenses, to prepare those properties for sale during the quarter, as well as some legal and maintenance expenses, but we hope to recoup some, or all of those expenses on the sale of the properties. We expect both of them to close in the fourth quarter, likely in November [technical difficulty] we have for both of those. As I've mentioned for several quarters now, we manage C&D and CRE concentrations, including office related loans, very closely. We have a diverse portfolio, and we really don't have any significant concerns in those areas. CRE represents about 40.5% of our total loan portfolio, and of that 40.5% only 5.8% is office related, and those loans have an average loan balance of only $544,000. Finally, our non-accrual loans were $5.1 million as of September 30, which were down from $6.2 million in the prior quarter, and our substandard loans were $12.3 million at quarter end, which is down from $18.7 million at the end of Q2. The decrease in substandard loans is the result of payoffs, and upgrades for a couple of loans that have been current, and compliant with loan terms for a number of months now. As I mentioned previously, we did have a reverse provision for credit losses of $500,000 during the quarter, which resulted almost entirely from lower loan balances, the lower substandard loan balances, and really just stable overall credit trends. Our quarter end ACL coverage is 1.34% of our total loans, which is similar to the 1.33% that we had at year end. All right on to deposits, liquidity and capital. Our total deposits grew during the quarter by $42.8 million, and our customer repo balances were up about $6 million, for a combined increase of $48.8 million. DDA balances increased $19.2 million during the quarter, while CDs increased $24.5 million and money market and savings accounts, decreased about $1 million. Non-interest bearing deposits continue to represent a good percentage, of our total deposits at 31.5% at quarter end. With respect to overall deposit risk, Guaranty has a very granular and historically stable deposit base. At quarter end, we had nearly 90,000 deposit accounts with an average account balance of just under $30,000. Our uninsured deposits also remain relatively low. Excluding public funds and Guaranty owned accounts, uninsured deposits were 26.3% of total deposits at quarter end. Liquidity is also good. We ended the quarter with a liquidity ratio of 17.1% and as I mentioned previously, we used some cash flows from matured securities and loan repayments, to invest in new available-for-sale mortgage back and treasury securities, and also to pay down Federal Home Loan Bank advances by $45 million during the quarter and that balance is now zero. We also have total contingent liquidity of about $1.4 billion that's available to us through Federal Home Loan Bank advances, the Federal Reserve Bank and correspondent bank Fed funds lines. Our total net unrealized losses on investment securities continues to improve, and remains reasonable at about $33.2 million, that's for both AFS and HTM. About $10.6 million of that is attributable to our available for sale securities, and included within the AOCI. Capital is also strong. We used a portion of our excess capital in the second quarter, to pay a $0.24 per share dividend and to repurchase nearly 60,000 shares of GNTY stock, at an average price of $30.65 per share. This of course, continues to add intrinsic value for our shareholders, which we like to see. Our total equity to average assets as of June 30, was 10.4%. And that concludes our prepared remarks. So I will turn it back over to Nona for Q&A.
Operator: Thank you, Shalene. [Operator Instructions]. Our first question is going to be from Michael Rose with Raymond James.
Michael Rose: Hi, everyone, can you hear me?
Shalene Jacobson: Hi Michael.
Ty Abston: Yes, Yes Michael. Good morning.
Michael Rose: Hi, good morning. Thanks for taking my questions. Really appreciate the color that you gave on the deposit repricing your schedule. Can you just kind of, and I know you mentioned loans repricing from three, four or five years ago. Can you just, maybe put a finer point on that? And I understand that you guys bought some securities this quarter. Just trying to kind of understand the interplay, between what that would mean for the margin, both on the repricing schedule and securities purchases. And then, you obviously had some deposit growth, DDA growth this quarter, which was nice to see. So I think, you previously talked about two to three basis points a month. Just wanted to see if that was, kind of still a range. And I believe previously you talked about exiting 2025, somewhere in the 3.50% or higher range. So just any updates there would be great? Thanks.
Ty Abston: Shalene, you got that?
Shalene Jacobson: Sure, yes. Yes Michael, we still do anticipate that NIM will increase by about two basis points per month, and we're hoping that we'll be probably a little under 3.50%, but definitely getting closer to it. For our deposit repricing, we didn't do, we did small decreases in early September, but we really didn't do our big decreases until late September. As I mentioned, a lot of those CDs that are repricing are currently at 4.73%-ish on a weighted average rate. 95% of those, are in one of those two either nine-month or 13-month CD specials that I mentioned. And again, those will reprice anywhere from 3.55% to 4.2% at the highest. So we really expect that, to help with some tailwinds in Q4. In terms of our loan side that you mentioned. Our overall portfolio turns pretty quickly Michael, the total portfolio turns over about every three-ish years, and a lot of our commercial loans have already repriced, but a lot of our non-commercial, 1-to-4 family and consumer loans are fixed for a period of years and will continue to reprice at these higher rates. So we're expecting to see, some continued improvement in those couple of portfolios on the loan side.
Ty Abston: Yes, Michael, I'll just add that a lot of the loans that we've had rolled out of the balance sheet, the last two years were coming out of low 4s in rates. So, we've been able - we wanted to add some duration to the bond portfolio with these higher rates. We've been systematically doing that the last few quarters. You're really not losing a lot of yield when you're - because you're actually picking up yield, in a lot of ways. Different bonds we're buying versus loans that are coming out of the portfolio. So that's been the strategy kind of add some duration. And we're not adding - I mean we're buying basically a 15-year plain vanilla MBS, but it's still adding some duration while these rates are high. And so, we're - that's kind of been what we've been focused on the last few quarters, to position that portfolio, to really benefit not just from the legacy bonds that are in the portfolio, but also add some - as these rates are up there, to really benefit when rates come down a little bit.
Michael Rose: Shalene and Ty, it's very helpful. Maybe Ty, just as a follow-up, one thing you said at the outset of the call that kind of struck me is kind of positioned to grow the company another $1 billion or $2 billion over the next three to four years. And then I heard, I think, a little bit of cautiousness around maybe growth next year? I know there's a lot of headwinds out there in the economy. We'll see what happens. But that would - that's pretty meaningful growth. I know some of that's going to be acquisitions. So can you kind of breakdown both the organic opportunities you see, particularly as we get closer to 2026. And then, what you see from an M&A standpoint, because I don't think you've talked about M&A for a while now? Thanks.
Ty Abston: Yes. So like I would say in the opening remarks, I mean, the strategy today, as it was coming out of the financial crisis was to be positioned, where we weren't playing, to having to play defense when it was a good time to be playing on offense. And so, as rates come down as we get more clarity with politics and everything else around the world, the Texas story is still very strong. There's a lot of opportunity in our state. We still have a very relatively young management team, and we have all these factors in place and the capital to the asset quality, liquidity and the capacity to grow the company. And so, it's no different than the same play we ran in the five-year period from '12 to '16, where we doubled the size of the bank. And I just see that as an opportunity for us because we have the capacity to do that, as we come out of that. We're going to continue to look at organic growth is kind of our primary driver. But there's 300 banks in Texas under $800 million in assets. So a very granular group of banks in the state. And we're still going to acquire of choice, when the opportunities make sense for us. We would do bolt-on acquisitions. I don't have a good - I mean, like I said, we're starting to work on our five-year strategic plan as we go into the Q1 with our Board. We will be modeling some of that out. So, I don't have any specifics that I want to give, because we really haven't thought it through, as far as how much that's going to be acquired, how much organic. I can just tell you that both opportunities are available to us, because of our options that we have. And we can certainly roll this company another $1 billion, $2 billion over the next three to four years. And not really stretch anything and not right, really have to stretch as a company or and do it kind of as base hits. And that's kind of been our MO for the last 25 years, and I see that kind of coming back around again is an opportunity for us as we come out of, and get into a more favorable economic environment in '25 and beyond, I'm like everyone else. I don't know if that starts January 1, '25, or we're mid-year '25. But I do know as rates come down, as we get more clarity on things, the overall strength of the economy is there. And again, our strongest borrowers are being cautious, which we certainly encourage, but they also have a lot of capacity to continue to get out there and grow, and we want to grow with them, and we're going to be positioned to do that.
Michael Rose: Very helpful. And then maybe just one last final one for Shalene. Just on the buyback. I know you guys previously talked about finishing out the program, I think it expires in the first or second quarter of 2026. But just wanted to get any updated thoughts there, now that the sector has moved a little bit higher. I think the earn-back on the buyback is about four years. Just wanted to see, if you will continue to be opportunistic and potentially finish out the program in the allotted time? Thanks.
Shalene Jacobson: Michael, that's a good question. But I mean, the price where it's at right now, is a little bit higher given the, earn back potential and other opportunities for us to use our capital. So, it just depends on where the stock price goes from here. If it goes down $1 or $2, then we may be back buying up again, we'll just have to see where it goes there. We'll certainly use it up if we can, but we want to be careful of that earn-back period.
Michael Rose: Okay. Great. Thanks for taking my questions.
Ty Abston: Thanks, Michael
Operator: Our next call will be from Woody Lay with KBW.
Woody Lay: Hi, good morning, guys.
Ty Abston: Good morning, Woody.
Shalene Jacobson: Hi Woody.
Woody Lay: Wanted to follow-up on sort of the one shrinkage in the third quarter. I think in the release, you called out some non-relationship runoff driving part of that shrinkage. Just any way to quantify, how much was related to the non-relationship and how much more there might be to go?
Ty Abston: Well, Woody, I mean, I would say the majority of what we've allowed to run off either we didn't consider core relationships or the deposit side of the equation wasn't what we wanted it to be, or there was a project that was looking to go vertical, and we weren't comfortable with the vertical piece at this point. Additional runoff, I don't have a good sense of that. We could see additional runoff in Q4. We could see additional runoff in Q1 and Q2 in '25, but again, we're just - we're positioned to grow the portfolio as we see the opportunities that make sense to us, and we see the strong borrowers out there, kind of getting more engaged. So we're not losing any core relationships, certainly over pricing or anything else. But if we have a relationship over the last couple of years that wasn't as core to our - what we consider our core relationship with the bank and/or didn't have deposits with us that we felt like we wanted with the relationship, or they were taking it to - doing another tranche of the project that we weren't comfortable in funding, then we would let those opportunities leave the bank. So hope that gives you some basic color on that.
Woody Lay: That's really helpful. If we do see loan growth continue to lag over, you said maybe through the first half of 2025. Do you think we see more bond portfolio purchases just to help offset some of the rising cash level?
Ty Abston: Well, I think you would from us because, again, I mean, people were standing in line to buy bonds when they were zero and why wouldn't we buy in the last two years. So we're going to continue to systematically add the bond portfolio, because we have the ability to do it. If you have the liquidity and the ability to do it, I mean, it's been a good time to add the bond portfolio. So, we'll like to systematically continue adding to that each quarter, as we have the cash and the liquidity to do that, from our perspective.
Woody Lay: Great. And then just last, a follow-up on deposits. I appreciate all the color and the opening commentary. I think you said 90% of the CD portfolio reprices in the next nine months. Any additional detail you can provide on how much reprices in the next quarter?
Shalene Jacobson: Yes. Woody, about $254 million will reprice at our CD portfolio in Q4. So that's about 34% of our CD portfolio. That $254 million currently has a weighted rate of 4.77%, and it will reprice anywhere between 3.55% and 4.2%. So we'll get quite a saving, there on the deposit cost.
Woody Lay: Okay. Great. That's all from me. Thanks, guys.
Ty Abston: Thanks, Woody.
Operator: Our next call is from Matt Olney with Stephens.
Matt Olney: Hi, thanks. Good morning, everybody.
Ty Abston: Good morning, Matt.
Shalene Jacobson: Hi, Matt.
Matt Olney: Hi, sticking with this deposit discussion. I'm just curious about the overall level of competition in your footprint, with respect to deposit pricing. You said you lowered some of your promo rates a few weeks ago. Curious how much pushback you're seeing? And then maybe longer term, curious about how you see deposit betas playing out throughout the down cycle, as compared to what we just saw over the last two years in the up cycle? Thanks.
Ty Abston: I mean, Matt, we're seeing less deposit pressure as far as pricing, less aggressive pricing in our markets. I mean, rates have been coming down really across the board with our competitors, and we've certainly pull rates back to. And that's been the case really for the last six to nine months. I mean it's not as frantic as it was certainly a year and a half year ago, from a competitive standpoint. There's still one-offs out there in every market, but for the most part, much less pressure on the deposit side. Shalene, do you have anything you want to add to that?
Shalene Jacobson: No, I agree.
Matt Olney: I guess the second part of that, was kind of longer term thinking about deposit bases throughout the cycle. Any bit thoughts around that of next year or two? Thanks.
Shalene Jacobson: No, we had previously modeled sensitivity passing on at about 0.4% of any rate decrease. This past time around, we were a little bit higher than that, and we'll probably model a bit higher than that in the first part of 2025, maybe slow it back down to 0.4% sensitivity in the second half of '25. We're still kind of working through that, but that's what we're envisioning.
Matt Olney: Okay. That's helpful. Shalene, thank you for that. And then on the loan side, just remind us of the dollar amount of the loans that are floating that will reprice lower with the Fed's recent movement a few weeks ago?
Shalene Jacobson: About $250 million, a little less than $250 million is floating daily.
Matt Olney: Okay. Perfect. And then just lastly on the expense side. I think a while back, we talked about those expenses kind of targeting that 2.5% of the assets. Just trying to appreciate how much of an opportunity that could be as you look into 2025?
Ty Abston: Well, I mean, that remains our target, always it has been. We're not uncomfortable floating above that. If we're shrinking the balance sheet, which we've been doing the last two years. Our current ratio is a little inflated from the ORE expense, but I mean we're - as we get back in a growth mode, we'll drive that down below that, but that 2.5% remains our target. But that's what you're asking. And - but that being said, we float above that, and we know why. We're not going to dismantle programs we have or investments we're making in the future of the company and the technology just to get the ratio down. If we - know why it's above it, and we know kind of how we're going to offset that and move that back below our target going forward.
Matt Olney: Okay. Thanks for taking the questions.
Ty Abston: Thanks, Matt.
Shalene Jacobson: Thank you.
Operator: Thank you for your questions. I will remind everyone the recording of this call will be available by 1:00 p.m. Central Time today on our Investor Relations page at gnty.com. We appreciate you attending the call. This concludes it for today. Thank you.